Operator: Good day, ladies and gentlemen, and welcome to AmpliTech Group's quarterly investor update call, where the company will discuss its second quarter 2025 financial results. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the call over to AmpliTech's COO, Jorge Flores.
Jorge Flores: Good afternoon, and thank you for joining today's call to review the progress of AmpliTech's growth initiatives and to answer investor questions. On the call today are AmpliTech's Founder and CEO, Fawad Maqbool; the company's CFO, Louisa Sanfratello; and the company's COO, Jorge Flores. Following initial management comments, we will open the call to investor questions. An archived replay of today's call will be posted on the Investor Relations section of AmpliTech's corporate website. This call is taking place today on Thursday, August 14, 2025. Remarks that follow and answers to questions may include statements that the company believes to be forward-looking within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements generally include words such as anticipate, believe, expect or words of similar importance. Likewise, statements that describe future plans, objectives or goals are also forward-looking. These forward-looking statements are subject to various risks that could cause actual results to be materially different than expected. Such risks include, among others, matters that the company has described in its press releases and in its filings with the Securities and Exchange Commission. Except as described in these filings, the company disclaims any obligation to update forward-looking statements, which are made as of today's date. With that, let me turn the call over to our CEO, Mr. Fawad Maqbool.
Fawad A. Maqbool: Ladies and gentlemen, thank you for joining our Q2 2025 review call. Today, we will reflect on our performance in the second quarter of 2025 and 6-month period ending June 30, 2025. We will take the opportunity to discuss the company's growth outlook, market opportunities and provide additional financial guidance. I will now go over on our Q2 fiscal year 2025 highlights and strategic progress. The company achieved record sales in excess of $11 million, which is the highest sales in company's quarterly history. This Q2 sales number surpasses the total sales number for the entire 2024 fiscal year. While lower-than-normal gross profit margins were achieved during Q2 2025, the sudden decrease is mainly due to the front-loading of our investment to open doors and get access to the lucrative 5G MNO business. Several onetime costs were incurred by the company that contributed to the increase in COGS to facilitate these shipments and activate its supply chain according to customer required delivery demands. Among these onetime costs are license fees, initial production line fees, molding fees, overtime, et cetera, which led to the lower gross margin achieved this quarter. However, let me emphasize that the company believes higher gross margins will be achievable over the next 6 months. As of June 30, 2025, we had cash and cash equivalents and accounts receivables of $16.423 million and working capital of $16.163 million with $0 of long-term debt on our balance sheet. The company's intangible assets, including IP, increased by $8 million on the balance sheet. Our inventory position remains healthy with over $7 million on hand and current backlog hovering around $15 million. During these initial 6 months of the year, the company has seen multiple purchase orders partially funding the previously announced LOIs with prominent ORAN 5G players in the industry. Additional orders are expected to continue funding these LOIs. Now let's take a look at the industry context and the strategic outlook. We realized it would be nearly impossible for a company of our size to break into customer bases at the MNO level without a deliberate front-loaded investment approach. Our strategy is to show that we can deliver and be a viable source for stringent requirements of these MNOs. These are multibillion-dollar companies that require precise product development. This builds foundational trust with industry giants and positions our high-performance technology to become the go-to standard in some of the most rapidly expanding communications verticals in the world. We have achieved traction and revenues that can be sustained at the expense of the compression in short-term gross margins for Q2 only. This is part of AmpliTech's intentional and calculated investment strategy by aggressively pursuing the quickest deliveries of products to Tier 1 multinational operators, to secure long-term positions within their critical next-generation infrastructure rollouts. AmpliTech's core focus areas Open RAN, ORAN, 5G networks; quantum computing and satellite/terrestrial high-speed connectivity are each expected to see high growth in the coming years: ORAN 5G infrastructure projected growth of 33.4%, reaching over $42 billion globally by 2030; quantum computing hardware sees market expected to grow at 37.3% combined AGR, exceeding $9 billion by 2032; satellite and high-speed connectivity equipment estimated to grow 12% CAGR through 2030 driven by LEO networks and the rural broadband demand. AmpliTech's advanced technologies, particularly its true ORAN 5G radios and cryogenic low-noise amplifiers, are uniquely suited to these high-performance applications. We believe this strategy of accelerated penetration, combined with recurring follow-on orders, will establish AmpliTech's products as embedded solutions within next-generation infrastructure platforms. In addition, increasing demand for secure, domestically manufactured communications equipment is expected to further accelerate AmpliTech's growth trajectory. AmpliTech is currently the only U.S.-based company providing complete, vertically integrated, end- to-end commercial and defense-grade networking and connectivity solutions. In contrast to other firms that rely heavily on third-party foreign suppliers, AmpliTech's tightly controlled supply chain offers a trusted alternative for both private and public sector clients focused on national security, data integrity, and supply chain resilience. These are key advantages that AmpliTech possesses. We believe the company is also well positioned to benefit from major U.S. government initiatives, including rural broadband funding, USTDA-led global efforts to replace untrusted foreign 5G equipment with secure U.S.-based alternatives, and CHIPS Act incentives to bolster American semiconductor production. These programs are expected to significantly scale operations across AmpliTech's 3 divisions. The AGTGSS division's 5G radios serve as the growth engine, addressing urgent needs for open, interoperable and high-performance ORAN 5G systems. Currently, AmpliTech's ORAN 5G radio deployment is the largest of its kind in the world, making AMPG a leader in ORAN radio products delivered in this industry. AmpliTech's 5G ORAN radios will integrate MMIC LNA chips developed in-house by the AGMDC division, ensuring superior signal fidelity and noise performance. The chips are then packaged and produced at scale by AmpliTech's Spectrum Semiconductor division in Silicon Valley, enabling full control over quality, cost and delivery time lines. There is a symbiotic relationship between each of these divisions, as I have mentioned in many of my previous calls, and each division can essentially be an independent business unit by design. Beyond internal deployment, AmpliTech's MMIC LNA modules and LNBs, recognized as among the best in the industry, are expected to see growing demand from other radio and telecom manufacturers in the U.S. and allied nations transitioning away from foreign component suppliers. This horizontal market adoption represents a significant additional revenue stream with strong margin potential. Now some forward-looking financial guidance. As AmpliTech transitions from initial deployments to scale adoption and repeat orders, the company expects gross margins to improve beginning in Q3 and Q4 of 2025. Based on executed LOIs and customer feedback, management anticipates the following: revenue growth already exceeding over 100% year-over-year in fiscal year 2025 driven by public and private 5G orders, the company increases revenue guidance to at least $24 million for fiscal year 2025, representing 140% year-over-year increase; gross margins getting back to double digits in the last 6 months of fiscal year 2025 as production costs normalize, onetime costs are reduced and higher-margin follow-on business ramps; positive cash flow from operations and projected profitability to be achieved in fiscal year 2026, assuming continuation of current order pace and margin recovery. The company maintains a strong cash management discipline and does not anticipate raising capital under unfavorable market and pricing conditions. Any capital deployment will be strategic, measured and aligned with shareholder value creation. Valued shareholders, we are looking ahead with our company having a good backlog in hand of about $15 million, with the expectations of receiving additional orders to continue funding our LOIs, a healthy balance sheet, 0 long-term debt and an expanding portfolio of proprietary 5G and satellite technologies. Having cryogenic amplifiers to serve the growing needs of the quantum computing market, having ORAN technology on hand to support this artificial intelligence leading pioneer, having global 5G product certifications now in place, AmpliTech is positioned to deliver successive quarters of growth, enhanced shareholder value and significant stronger IP valuation in 2025 and beyond. This trajectory is anticipated because of all the previous investment and development in unique technology that is focused and targeted for these growing technology demands. As such, I thank you for your continued support. We'll now open the call for questions. Operator, please proceed.
Operator: [Operator Instructions] The first question today comes from John Henderson with Inflections.
John Brien Henderson: Congratulations on your forward progress. I wanted to ask a couple of questions. Number one, you got the first Tier 1. That's ordering nicely from you guys. Can you give any more granularity on what you're looking at with the second Tier 1 and when you're expecting some feedback and additional orders from them overseas?
Fawad A. Maqbool: Well, we've already received orders on the second Tier 1. We've already announced those as well, and they continue to come through. Jorge, what's the time frame on those?
Jorge Flores: Well, right now, though, we have 2 main LOIs right now. One is $78 million. The other one is $40 million. So we actively shipped against this $40 million LOI during quarter 2. And we already received the additional orders, which are mainly the backlog that we have, already received orders for additional production quantities for this year and the start of next year. When it comes to the $78 million LOI, we already received about $2.5 million worth of orders. All of those are shippable within 2025. So the bulk of the $78 million LOI is going to be spreading between 2026 and 2027. So we are definitely looking forward for really good years ahead.
John Brien Henderson: And do you think you're going to have visibility on 2026 like well ahead of time with both these guys so you can even production out? Would that be possible?
Jorge Flores: Absolutely. We do have periodic meetings with both organizations, and they are already working with us, and they are providing their forecast to us as well. So we are able to energize the supply chain with these numbers. And then the way that it has been working, though, is that the customers, they supply the forecast, then we start activating the supply chain and then they start funding the orders. And that's how we are moving ahead with the shipments.
John Brien Henderson: And what's the pipeline looking like? I mean congrats on securing these 2. We're relatively new to the story, so just digging in here, and it would seem as though that's going to open some other doors. Can you provide any update in terms of what the pipeline might be looking like with other operators around the world in terms of like the amount of engagements potentially, just even if it's in a broad stroke?
Fawad A. Maqbool: Well, we can't give you any real numbers, but we can tell you that whatever we're doing here with these MNOs, which is transitioning to the 5G ORAN technology, it is something that is imminent for many other MNOs. And there are several large MNOs, I mean we're not going to name any right now, but we all know them, those large MNOs are geared to do this transitioning. Now that they see that there is a successful way of doing that and achieving it, and especially with AmpliTech and also the other MNOs that we're working with, now it becomes more viable for them to pursue this opportunity. So that's the main thing. Our whole goal was to show the world that it can be done and it can be implemented, and it doesn't have to be waiting for many years. So we have provided this technology and capability now. So we expect next year to get a very good response from other MNOs waiting in line to do this.
John Brien Henderson: Great. And I noticed you guys had a press release like a month ago about quantum computing. How many companies in that space are you engaging with? It doesn't seem as though it's really revenue-producing yet. Do you think that will be revenue-producing soon? And what are your expectations there over time?
Fawad A. Maqbool: So quantum computing, the whole quantum computing business right now is not at a productionized phase right now. The R&D companies, like these obscenely valuated companies, like IonQ and others, that do not have product and they do not have any revenues and stuff, they're just basically valued for what they may be able to produce in the next coming years. We already have a product that we have delivered to these large companies, and it's shown performance, but it's not at a production phase right now. And these quantum computers, they basically are not something that you have thousands of. The quantum computers will be made to access business-to-business type applications. Nobody has it on their desktop. So the businesses will access it through the cloud and the cloud is really the quantum cloud, and that cloud is basically replacing the AI applications right now. Right now, the silicon applications is led by NVIDIA, but it's reached its limit. It's causing a lot of increase in power consumption in all these AI data servers. And it also is causing a lot of speed degradation because silicon cannot provide the kind of speeds that the calculations and the demand is there for. So there is a push now to jump into AI. AI is going to be powered by quantum in the future, but it's not here right now. But it's inevitable and it's around the corner. When that becomes productionized, that's where we provide all the very essential core components, which are in these quantum applications. And the numbers come in where you look at the qubits. So IBM and companies that are at that level, Google AI, they have thousands of qubits in their computers. These are similar to bits in a regular computer. So these 1,000 qubits, each qubit generally has an LNA that we make that's required to go into these quantum computers. So that's where the production will come in. It's not at a production state yet. But when that goes, it will ramp up just like everything else has.
John Brien Henderson: Great. And then final question, then I'll cede the floor. Can you update on your space division? I know you're pretty upbeat there in the last few quarters, about what's coming next year with all these hosted new products. How is the backlog looking there in terms of building for next year?
Fawad A. Maqbool: Yes. So the space products are coming from the LEO applications, right, the low earth orbit applications. But right now, the low earth orbit applications, they're in the process of building out satellites. Right now, they're not at the stage where they would require the chips that we have. That comes sometime next year. That's what we predict the satellite business will be coming. And we have already developed a bunch of chips and space-qualified hardware in our AGMDC division to support these satellite applications. But that's not this year. It's going to start pretty much next year, the satellite applications.
Operator: [Operator Instructions] The next question comes from Jack Vander Aarde with Maxim Group.
Jack Vander Aarde: Okay. Fawad, sorry, I joined a little late. I have quite a few earnings calls tonight. So I apologize if I'm redundant. Big uptick in the revenue this quarter as we were expecting. That's $11 million. I'm just wondering if you could just help me understand and help everyone else understand how many orders under the 2 LOIs have come in since reporting $11 million of revenue, roughly.
Jorge Flores: Well, right now, we have additional orders that we reported over the last month, exceeding $5 million so far already, and we're expecting a few more to trickle in shortly. So we are definitely very positive that the LOIs, at least on the $40 million one, we know that we are on our way to get that LOI fully filled with purchase orders over the next year or so. On the $78 million LOI, we already received $2.5 million worth of funded orders. So this we are shipping this year. And this is a typical cycle in which the smaller shipments in the beginning serve as a point of concept to make sure that all of the deployments are going to be working as expected. And then basically, the floodgates get opened after that.
Jack Vander Aarde: Okay. Excellent. That's a helpful overview. Maybe just, Fawad, kind of bigger picture, just can you maybe touch on all the different types of verticals for your ORAN, your 5G ORAN solutions, and maybe just rank them in terms of how you prioritize them, which ones take off first and how do you actually deploy them?
Fawad A. Maqbool: Sure. So there are 2 different types of businesses that we are pursuing. One is the private 5G, which is a growing industry. The private 5G is involved in applications like mining, warehouses, department stores, even homes as well, but many different businesses, railroad stations, it could be limitless, many, many applications where they need a secure high-speed network that basically now is AI compatible, right? That's what everybody wants now because manufacturing is going to become automated. So there's a big drive to have high-speed networks that can be AI-based, and that's what we're providing. The second part of the radio business is the commercial MNOs, which we've been announcing. So these 2 businesses are separate. They're not the same. They're different types of radios. They're higher configuration radios for the massive MIMO. For the commercial applications and the private 5G, radios are lower power, and they have different parts of it. They have a Wi-Fi 7 part of it. They have CPEs. They have routers. We make all of those things from top to bottom, including the radio, the antennas and everything. So what's happening now is that people need support in the private 5G. They need these to fill, let's say, the last mile access. And the networks are not covering the last mile, and we're calling it fixed wireless access. Since we have capabilities for both the commercial applications as well as the private 5G, we're in a very good position to fill all these holes that other providers cannot do because we are basically vertically integrated and we're able to provide all of these solutions, including in the home, AI-based devices like routers, like CPEs, like Wi-Fi 7 devices, cameras, all of these supporting equipment we can provide. And that supports not only businesses, but it also supports these commercial applications and homeowners as well. So it's a large market because our products cover all of these verticals. And this is a very, very lucrative market now because the large MNOs are not going after the last mile business. We are. And the more subscribers we build with our networks, the more value we get.
Jack Vander Aarde: Excellent. Okay. And then maybe just to follow up on that, it's very complex. There's a lot of moving parts in the ecosystem. And I just want to know like, for the autonomous piece of this business, all the different drone providers, you have robotaxis on the way, maybe, everyone is kind of competing for these last-mile deliveries. Do you see AmpliTech as a fundamental absolute requirement to enable all of these? And will you be able to play well with everyone? Or do you think 1 or 2 of these providers is going to kind of win share? How does AmpliTech think about that?
Fawad A. Maqbool: So AmpliTech's strategy is not to compete with these providers, right? I mean we're providing a unique solution. Right now, there are other companies that basically take third-parties and put or assemble and integrate the entire system. They buy the [ COD ] from someone. They buy the radios from someone and then they have the support for installation from someone. So we're not doing that. We're basically the only company in the U.S. that is providing all of it from top to bottom, including the planning and optimization and the design of all this equipment and the software that goes along with it. So we are in a position to help these MNOs achieve what they want, not compete with them. So we become valuable to them as their assisted provider, right? And also to help them improve their whole network by adding our subscriber base to theirs or also just adding our equipment and transitioning them to the next level. So it's a very, very positive thing. We're not competing with them. We're basically helping all of them and creating a business niche where there's not too many U.S. players in the private 5G market that can do all of it that we can do. And we've also built up a lot of IP.
Jack Vander Aarde: Just to clarify, sorry, Fawad, I was talking about how does AmpliTech view the competitive environment in terms of the end drone providers and the end autonomous vehicle players. You're enabling all of them. So it sounds like you are the solution for everyone regardless of who wins out or if it is a fragmented market. Excellent. And then one more thing. I would just like to get an update, whatever you can provide perspective-wise, 2 months ago, 3 months ago and then maybe 6 months ago when you initially announced these LOIs, how have your feelings and opportunities in terms of like people knocking on your doors, new opportunities knocking on your doors, like, "I know what AmpliTech is now, and I think I need that," whether it's MNO discussions or other big MNO players domestically, internationally and then also some of these other special channel service providers as well, what has changed in your view? How are things progressing?
Fawad A. Maqbool: Well, most definitely, their view has changed. We have shown that we have an ability to be able to produce what they need, right? It's very hard for qualification in this business for any provider, or a small company, especially, to have all the certifications and all the attestations that we need, to provide all the regulatory things that the company needs, to provide service and a qualified product to these MNOs and large companies. We have shown that. And the orders and repeat orders are showing that we are a viable one. So other companies, as I mentioned before, and I don't think you may have missed that, is that by seeing that we are able to provide this, there are several other MNOs that are in the same position as Telus or Canadian manufacturers that is transitioning them to a 5G ORAN to save billions of dollars in the future. So now they have seen that this is working, and we are a partner to them, so they're advertising our services to them. So when they see that we can do it and it's really possible to achieve this 5G transition and that we're a viable player, they're now easily set up for us to tap into, and they will now see that we can provide that. So it opens a lot of doors for us, this investment. I mean, we invested heavily in doing this. But the game-winning thing is that we are now a viable supplier to all of these people. And it's a unique industry. There's not too many ORAN 5G providers besides us.
Jack Vander Aarde: Excellent. That was exactly the answer I was looking for. And then maybe just one more follow-up. I guess, how is your inventory kind of looking? And how are you prioritizing just the sheer demand that you're going to have to satisfy where things stand in terms of your manufacturing and inventory kind of strategy and needs?
Jorge Flores: Well, let me answer your question. This is Jorge. We are entering right now a very good period for us because now we have a great relationship with our customer to the point that, as I mentioned previously, though, now we are privy to be able to see their forecast, right? So that has been a tremendous help because obviously, though, for us to be able to do the shipments in Q2, we really have to expedite material and pay premiums and stuff like that. So there was a lot of onetime costs that we had to endure in Q2 to be able to deliver this rapidly, right? But on the same token, that's why we are able to predict that our gross margins are going to be improved greatly over the next 6 months. Why? Because we already have all of the tests, all of the molding, all of the onetime costing that affected our gross margins in Q2. That's already behind us. So for Q3 and Q4, we already captured those costs, right? Now when it comes to material, we don't need to airship material or pay the expedited fees to get the suppliers to ship the materials because already, based on forecast, we were able to start ordering against forecast. So now that material, the supply chain is already active, right? So we don't need to be expediting or paying premiums to be able to get the material to the assembly line on time for the strict delivery requirements that we have from our customer. And that's one of the things that I wanted to point out, though, that we have a great relationship with the customer. When it comes to deliveries, we must make deliveries based on their schedules because there is a lot of system integrators, right, that they use that they must have product on hand, and we committed to that. And we achieved a great response and a great supply chain activation for Q2, and we're already set to continue doing that over the next quarters. And that's why we firmly believe that our gross margins are going to return to very normal levels over the next 6 months, and we are definitely looking forward into that. The inventory right now, yes, the inventory that we are handling right now, as you can see and as you will see in the balance sheet, we are very selective, right? We basically build to order, we're building to forecast. So we are very careful in bringing inventories and keeping the inventory levels to very manageable levels without affecting the cash flows of the company. So we definitely are in a good position inventory-wise to satisfy the next set of funded purchase orders throughout the company, not just for 5G, but also for the core business in the AmpliTech team division and the spectrum division.
Jack Vander Aarde: All right. Excellent. Well, it sounds like things have really progressed. Everything is on track. Look forward to watching you guys execute.
Jorge Flores: Thank you.
Fawad A. Maqbool: Thank you, Jack.
Operator: The next question comes from [ Chirag Patel ], a private investor.
Unidentified Analyst: I'm one of your investors from very beginning of the time. I have seen too many ups and downs and sometimes those moral breakdowns. But I have a question on the AmpliTech warrants. I also own warrants. I wanted to know if I want to execute those warrants, how can I do it? And is there any plan you guys are extending the expiry of those warrants?
Louisa Sanfratello: If you would like to exercise your warrants, this is Louisa Sanfratello, CFO, if you need to exercise those warrants, please contact me at the office or send me an e-mail at louisa@amplitechgroup.com. As far as extending those warrants, at this time, we do not have any plans on doing so.
Unidentified Analyst: Okay. All right. So basically, I have to reach out to you in order for the execution.
Louisa Sanfratello: Yes.
Fawad A. Maqbool: Okay. Thank you, [ Chirag ]. Thank you for being an investor.
Operator: This concludes our question-and-answer session. I would like to turn the call back over for any closing remarks.
Fawad A. Maqbool: Thank you, operator, and thanks to everyone who joined today's call to hear about the progress we've made and the plan we have to further our company's mission of providing the communication systems of tomorrow today. We look forward to updating you further on our Q3 financial results call in mid-November. Until then, please contact us directly should you have any questions or wish to schedule a call with management. Our Investor Relations team can be reached at the contact information listed at the bottom of our press releases. Thank you, and be well.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.